Operator: Ladies and gentlemen, thank you for waiting. Welcome to the Conference Call for Cemig's Third Quarter 2020 Results. 
Antônio Carlos Vélez Braga: Good afternoon, everyone. I am Antônio Vélez, Superintendent of Investor Relations of Cemig. We now will start Cemig's third quarter 2020 earnings conference call and broadcast with the following executives; CEO, Reynaldo Passanezi Filho; our CFO and IR Officer, Leonardo George de Magalhães; and all the other officers in the company. You can also follow this transmission by the phones. In Brazil, (55) 11 3127 4971 or the number in the U.S. (1) 516 3001066 and also on the links available on our Web site, ri.cemig.com.br.
Reynaldo Passanezi Filho: Good afternoon, everyone. It is always a great pleasure to be here with you to bring the results of the company for this third quarter in the year and the year-to-date. Considering what we have been looking for and what the company has been able to deliver, we have results that are consistent and sound. And they do show the company's resilience in the pandemic and obviously also they show very positive perspectives in terms of the growth recovery. So I would just comment on a few topics and then we'll go deeper. But first, sound and consistent results in the financial area. We have our adjusted EBITDA and consolidated EBITDA much higher than 2019, R$ 30.6 billion and EBITDA much higher for this year. Net income adjusted and consolidated also over 2019 almost 12%, R$ 1.7 billion. And gross debt is controlled our net debt over EBITDA operation is much lower ratio, it's 1.55 and that implies in a better rating and also allows us to have a very comfortable situation nowadays in terms of over R$ 5 billion in cash. So we are able to celebrate here. We lower the regulatory levels as we have mentioned already, Cemig D. We have been working hard in PMSO to reduce expenses in PMSO even our EBITDA – regulatory EBITDA had very good results. This is a market that a very few times the company has been able to reach that number. But this is – now we have a very good year with investment and execution, and I am sure that we will be able to reach our goals. On operating income, we also have sound results. A recovery of our load – I'm sorry to interrupt. We have seen in the national integrated system that recovering the national load, but it's no different here. We are 3% up over September fortunately and also we have growth in the free market and a higher growth since March of 2020 and the year-to-date because of the period of the pandemic, we had a different behavior. But now we see a gradual recovery of the load and that's very important in order to ensure that we have no contracting levels and that will allow us to roll as well. The recovery also out of the leverage – and I'm sorry, of their levels, that's for an average that is in line with the target of 2020. That is much higher than what we had and mostly for the period, which were April and May. And finally, when we talk about DEC and FEC, the average outage duration, we have 9.3 hours and this is also very good result, because the regulatory DEC is lower than 10. So we are lower than the regulatory levels. So I believe these are the main messages here.
Antônio Carlos Vélez Braga: Thank you very much, CEO. So now let's turn to the presentation itself. I would like to ask you to turn to Slide 3. Our CEO already mentioned some of these highlights, but I would like to stress about operating efficiency that for the first time, Cemig distribution in the nine months of this year already has operating expenses lower than the regulatory limits, R$ 127 million vis-à-vis our leverage was 1.55x over EBITDA  specifically our cash generation. The third quarter  24% reaching R$ 1.3 billion in the third quarter. And because of our leverage and our debt profile and also thanks to our debt cost, the rating agencies also recognized our credit quality and how they improved our ratings in different ways, and I will go into the details on the next slide. We continue identifying actions to prevent our losses as well as delinquencies this year, specifically was because of the pandemic, so a very challenging year but we are still working hard to prevent our losses and delinquency.
Leonardo George de Magalhães: Good afternoon, everyone. Thank you very much for participating in another video conference of Cemig, where we have the opportunity to explain our results. As Dr. Reynaldo mentioned, these were sound and good results that show the resilience of the company during the pandemic. And Vélez has already commented on the main results on the quarter, and here we are going to concentrate on operating costs and expenses. We see that the company has maintained the efforts to have operating efficiency. We're able to reduce our manageable costs or PMSO costs basically for materials, outsourced services and headcount in 4.7% vis-à-vis the prior year without any inflation adjustment here. So if we adjust it by the inflation, we are able to see the company's efficiency of almost 7% in cost reduction when compared to the prior year. And we think that these are relevant results of the company and we continue working to bring down costs. Therefore, it's important to highlight that there was an increase in profit sharing program in the quarter, to be specific, but in the year-to-date there was a reduction from 160 million to 109 million in the quarter. And also another highlight here, it has to do with the provisions for ADA and we're able to sign an agreement with the state. And therefore, we ensure that that overdue payment from the state will be paid by the settlements, and we are going to offset those and discount from the ICMS credits. And also last year, remember that there was a large provision, over R$ 1 billion based on our also profit sharing program and these were tax contingency provisions. And that affected our results. Now, on the next slide, we have our OpEx – our realized OpEx and the OpEx with regulatory targets. This was a landmark for us because all our OpEx was covered by our tariffs. This is the first time this happens. And this is the company’s commitment. We committed ourselves on the Cemig D that by the end of the year, we would be able to have our OpEx within the regulatory limits and we anticipated the profit. So on the third quarter, we already bring to you this good news. We are 127 million lower than the regulatory target even if we consider the cost that we knew that would be difficult to cover for with the tariffs, such as post retirement. But even then the company was allowed – or we were able to have that still for 2020. About the EBITDA, we are lower than the regulatory target, 73 million. And here we have on the company’s additional and relevant efforts related to non-technical losses that caused us to have losses in almost 200 million up to the third quarter as the company is taking several actions. These actions are already being implemented so that by the end of 2021, we are able to reduce these non-technical losses to close to zero. So once again, we were able to reach our coverage of 100% of what the regulation guarantees. Remember that there is a small chart here on the bottom. In 2018, we only have 78% of our OpEx covered by our tariffs in 2018. And in 2020, there's -- because of our efforts in the first two years, specifically efforts in 2020, we were able to reach the regulatory coverage. So we believe this is an important effort and important landmark for Cemig distribution. On the next Slide, 20, we have our consolidated debt profile. We see here our indebtedness profile. This is a gap  for the next year that can be managed. With the cash generation that we have plus the cash of the company that we have so far, we’re able to go through…  We have a hedge for the interest rates and up to $5, so this bond is hedged. Therefore, this gap of 9 billion would be at a lower amount. And the important management message is that we are paying attention to the topic. We understand that in the first quarter of next year under a more stable scenario, and we expect it to be a scenario with vaccines and the markets will have less uncertainties and interest rate will be at normal rate or with less uncertainties and with a better risk level and the company will start a process of a liability management for these months. So we are in a very comfortable position and that translates into the company's leverage, which today is at 1.55 of our total net debt over EBITDA, very comfortable and that also has affected our ratings, as Vélez has mentioned, that the ratings are continuously improving and we understand this is the trend for the future. And we expect it to continue on that improvement scenario, improvement of our liquidity as well as reduction of our investment. On the next Slide, 21, we have our liquidity, our cash flow generation that is amazing for the quarter. In the first nine months of the year, we were able to generate around 4 billion in cash. This is significant in addition to other factors that have helped us to maintain the liquidity level and the cash close to 5 billion by the end of the third quarter of 2020. We understand that this is very important and that balance allows the company to tackle the challenges still in this year-end with no vaccine and the market still suffering because of the economic deceleration. But that will ensure the company a comfortable situation for the next few months. And our next slide before we turn to our Q&A session, these are the company's expectations which are very positive, starting by solutions for GSF. The regulations are still ongoing with the regulating agency and we have a favorable expectation to extend for two or three years our planned concessions, not only in Cemig plants but also our investees, Aliança and other ones where we have a stake. And thanks to this major GSF agreement, we probably will have the expansion of these concessions translating into more value to our company. We have an important digital transformation project. We plan to change our relationship to turn it to a more modern approach, updating our platforms, virtual assistants and also we are having robotic processes to change the level of our relationship with our customers. In terms of our new investments, specifically in generation and wind projects and in also photovoltaic plants, we have a portfolio to be analyzed of over 2 gigawatts and also for solar plants, we have also a portfolio close to 2 gigawatts. Both are profitable projects that will generate value for the company and in a very safe conservative fashion, always thinking in terms of adding value in a responsible fashion. The company will analyze these projects in the short and then the medium and long term. So this is -- also we have a revision process for strategic planning in order to analyze opportunities and challenges for Cemig considering renewable energy in an environment of the electric sector in Brazil and in the world for the next few years, and how the company has to prepare itself for this competitive environment. There is a project called New Energies and the aim here is to boost our organizational culture. This is a company with over 60 years of age and it has a lot of strengths that needs to be valued, but also we need to improve our processes and behaviors that can contribute to a culture that is directed to results. And we believe this is important and it has everything to do with this administration's targets to turn this company into a more efficient one. And finally, divestments. We maintain the commitment to rightly allocate our capital and the company is still interested in maintaining its remaining stake in Light. This is one of our priorities when we talk about our divestment portfolio. These were the slides that we had to bring to you. These are very good results showing resilience in the company. And we're very optimistic about the future and all the projects that are being developed in the company in order to develop value to our shareholders. We will now start the Q&A session.
Operator: . There is a question from .
Unidentified Analyst: The question is when are you going to be paying dividend and what about the dividend’s policy?
Reynaldo Passanezi Filho: Thank you very much for your question. The company in the last meeting with investors, the company stated that our purpose right now is to maintain our policy of 50% of dividend payments. We believe this is balanced and this allows our shareholders to have the right remuneration and also it allows the company to have the liquidity position which is important right now considering that in the midterm, we will have the maturity of plants, Nova Ponte and Emborcação, and we are going to have grant payments to maintain those concessions. And also we have a large investment program in the distributing companies. So right now we believe that this policy is adequate. But of course, we are always reviewing and trying to create value to shareholders. And if we have a better liquidity situation and if we have a comfortable leverage situation, we might think about paying additional dividends. But right now, we want to maintain our policy of 50% dividend payment.
Operator: . If there are no further questions, we’ll turn the floor back to the management for their final remarks.
Antônio Carlos Vélez Braga: Very well. Ladies and gentlemen, thank you very much for this teleconference and video conference actually. Teleconference is something from the past already. Really, these are consistent and sound results showing that the path that we have chosen is the right one and we do have favorable perspectives. And I should highlight two last subjects that Reynaldo mentioned. It’s important that we are working on our strategic planning. We wanted to have a future – future scenario, and along with planning always associated to an organizational culture, understanding the rationale of results of the – part of the decision making process, which will help us and will prepare the company for future challenges. Thank you very much and have a nice afternoon.
Operator: Cemig's conference call has ended. Thank you very much for your participation, and have a good afternoon.